Peter Podesser: Good morning, ladies and gentlemen, and thank you for joining us in this call presenting our Q3 and 9-month figures as well as an overview of the business right now. Together with Daniel, we will lead you through all the key figures, but also key facts relevant to the 9-month period right now, but also naturally on to the outlook. And thereafter, we will be happy to answer all your questions. No question, we are looking back to a soft quarter. We're looking back also to a challenging period here in the business. We have to say, as also anticipated as this was one of the key reasons why we saw ourselves obliged to bring down the guidance back in Q3 at the end of July. But naturally, starting with this point, I think we want to give you, let's say, a solid and concrete analysis on this. If we look at the development here in the first 9 months, we see a slower growth than originally planned in core parts of the business. And if we look into the main reasons of deviations, I think we have to start off with the biggest impact on the defense business. In India, we saw a postponement of the follow-on programs here for our EMILY and JENNY deployments -- EMILY and JENNY fuel cell deployments to the Indian Army based on a decision that was basically a repurposing of funds during this current fiscal year. We have spent quite some time in various meetings on site in India. And I think within the last 3 months, we see -- I think we see solid signs and we see, let's say, basis also for a rebound within, let's say, the next fiscal year here for the business in India, maybe not back to immediately the levels of the 2024 business, but at definitely higher levels than we see it in '25. Two additional elements here. We have signed service and repair contracts, comprehensive maintenance contracts now for all the deployments with the Indian Army, which going forward as of Q4, and we have signed them last Friday. So going forward, this is basically also covering more or less local cost and also yield a proper capacity loading here for our operation in India. And we have also started last weekend local methanol filling here as we do it in other parts of the world, North America and Asia as well. So we are also able now to provide local methanol, address also cost concerns from customers there and also see this as a basis also for the rebound. So India, the first element here of deviation this year, definitely, I'd say, volume-wise, the biggest impact. If we look at our organic growth, we also see a growing -- we still see a growing business in the U.S. Overall, in the first 9 months, we see about 28% growth, but we have to say, especially with new customers, we were expecting also based on historical growth rates, a significantly higher growth. The overall economic uncertainties have an impact on decision-making of our customers there. And therefore, we have missed out on the original plan to see growth above 40%. As said, 28% organic in the first 9 months and a corridor that we also expect until the end of the year is per se, a solid growth number, but definitely not what we had planned for and what we expected. The third element, and Daniel will dive into this, yes, we have seen 3 functional currencies, I'd say, devaluating significantly against the euro, U.S. dollar, Canadian dollar as well as the Indian rupee with an impact on sales and earnings, getting into this in a bit. If we look now into, let's say, the reaction on these developments, I think we are seeing first fruits out of, let's say, cost alignment and cost measures that we have implemented right immediately in third quarter. We are seeing, let's say, a normalization, especially on IT and ERP spending and I think also functional cost, you will hear from Daniel is, I think, an alignment on what we implemented. As also mentioned before, we are not talking about here now a significant headcount reduction at all. I think we are in a selective hiring mode here in those areas where we see growth, and we are reallocating also resources to those areas where we see growth, and we are taking capacity out in those areas where we don't see growth. If we now look into the third quarter, we have to -- we are seeing a significant increase especially on the order intake side, which also is the basis for us expecting a strong fourth quarter. We are overall seeing an increase to a book-to-bill ratio of 1.2 compared to about 0.76 in the first half of the year. And combined with, let's say, a product mix also impacted and positively impacted by a higher defense sales ratio in the fourth quarter, we see a positive impact also in the fourth quarter. If we now look also into, let's say, the next steps of implementing our strategy, I think the acquisition of a 15% stake in Oneberry Technologies in Singapore is a key element, on the one hand, for the regional expansion of the business, we are seeing Singapore as the regional hub for the expansion in Southeast Asia. The closing process is in a final phase. And besides the regional expansion, I think we have a unique opportunity here to learn and to step into a business model that is highly attractive and profitable where Oneberry is operating under a security as a service business model for their AI-based unmanned security solutions from border protection to drone defense applications and critical infrastructure protection. Overall, we have an option also to take majority ownership, and we are working actively on this as also a platform for further growth in Asia as of 2026. Furthermore, important to inform you about the U.S. operation. We are on track for the ability to do the local production to ramp up the local production in our facility in Salt Lake City. Strengthening our local-for-local program here at the end helps us to reduce exposure to import tariffs. But over time, naturally also makes us less vulnerable and depending on exchange rate and currency risks by establishing a local supply chain. Our team from the U.S. right now is here in Europe for training. And therefore, we will be ready to have a first pilot series produced still this quarter and ready for production early 2026. So overall, looking at the sales performance, we see a decline of 2.4% as said, not happy with this performance, the reasons for the deviation, the reasons for the decline, the main reasons mentioned here. If we look into, let's say, the order intake, I mentioned this, seeing EUR 34.6 million in the third quarter, we see a significant increase to the previous quarters. So the book-to-bill ratio now is up 1.2% in this quarter, and this also naturally gives us a solid basis here now for the final weeks of the year. If we look at the overall backlog here being around EUR 79 million, that is definitely significantly lower than at the beginning of the year with EUR 104 million, reflecting the weak order intake we had, especially in the first 6 months of the year. Here, I would like to also draw your attention to the fact that we naturally have a part of the business being highly transactional, which means it's kind of a rolling order book that is turned around within the quarter. And we are looking here at a ratio between, let's say, slightly below 40%, up to 50% of the revenue also turned around within a quarter. So we are looking at, let's say, this year, EUR 14 million to EUR 15 million turnaround in the quarter. So -- having this in mind also, you put in perspective the order backlog. If we look at the segments, the big impact here on the revenue and the significant impact here was mainly on the clean energy segment. The biggest segment, clean energy still is accounting for about 69.7%, so almost stable to the year before, but still here, we see a drop in revenue of about, I'd say, 2.5%. I mentioned this, the U.S. and the Indian defense business being the biggest impacting factors. Looking at the end markets there, we still have to see that the Industrial part of the fuel cell business is growing above 10%, 10.8% and the security part in this, that is basically CCTV application, civil security business is running above 15% growth. So there is an intact growth curve, I think, visible. Looking at the Clean Power Management, around 30% of the business, a decline of 2%, strictly leading back to a single project missed in the Canadian oil and gas business of, I'd say, a EUR 2.8 million business here for power products, VFDs with one customer in Canada that was basically in our forecast, but lost to competition. Looking at the clean energy business in Canada, we see also this part on a solid growth curve. With this, I will hand over to Daniel leading you through the financial results here of Q3 as well as the first 9 months.
Daniel Saxena: Good morning. Thank you for dialing in. Let me go into the margins a little bit as well as the cost basis. I think as a summary, what we could say is that those negative impacts that we have seen in the first half year have continued. To some extent, they have lowered, but there was still a negative impact. I believe from the cost base, you've seen we are running rather stable in the underlying because costs are rather optimized. But let me go into that quick and highlight certain developments. So when it comes to the overall gross margin in the first 9 months, we've seen the negative effects that we also have seen in the first half year, especially with regards to the segment's clean energy, which is the less favorable product mix with a lower share of the defense revenue. We mentioned that before, that really play an essential role in the unfavorable gross margin development that we've seen since the beginning of the year. But what we also have seen now is that the customs duty that have been introduced slowly negatively impact our gross margin. Like I said, it will be unlikely that we'll be able to avoid the entire customs impact. So we -- it is not that we'll see a huge impact, obviously a slight impact from those custom duties. And then what we also see in the segment clean energy is the less favorable exchange rate with regards to the U.S. dollar and the Canada dollar. So if we compare the average exchange rates of those 2 major currencies, the U.S. dollar in average depreciated by 1%. The -- Canadian dollar in average depreciated by 4%, which has an impact on the gross margin. So the overall group's gross margin 40% in the first 9 months, which is slightly below what we've seen in the 9 months of 2024, while we had a gross margin of 41.7% and it's also moderately below the level of the previous full year margin, which was 41%. Nevertheless, we consider the group's gross margin to be on a level with which we're not entirely satisfied for a good reason. At the beginning of the year, we had higher goals and higher targets. We may not have anticipated entirely the economic turmoil ahead of us at the beginning of the year. We may not have seen entirely the development of the exchange rate, but also the development in India, all of it has an impact on the gross margin, especially with regards to the segment clean energy. It is a heterogeneous development in the gross margin, we've seen that, we have a gross margin expansion in the segment Clean Power Management, where we see the gross margin going up to 29.7% from 26.9%. So that is something that we are happy and content with. The main reason for that, the increase is basically that in both main product line in that segment. So the power management solution, we were able to implement a higher pricing also because I mentioned that in the first half year report call already, also due to our own products that we've been operating, but we've also been able to implement higher prices in the drive motor control products. So if we then look at the EBITDA margin and the key impact on those operating expenses, R&D and G&A, I think there's -- again, there's 3 major topics that we've seen in the first half year, which is the extraordinary cost for exchange rate losses. That is the IT spending for the implementation of SAP as well as making our IT overall landscape more robust. We've seen those costs, or those expenses having come down in the third quarter, but there was still an extraordinary expense in there. And what we've also seen in the third quarter is a lower rate of capitalization of R&D, which is something we've had in the first 6 months and which is also something that will unlikely change because that is pure accounting and that has also impacted EBITDA negatively compared to the first 9 months in the last year. So if we add up those 3 facts and look at the last year, make a like-for-like comparison, those 3 effects together have impacted EBITDA negatively with approximately EUR 5.5 million, which really shows that our cost basis is solid. The earning power is still there. We believe we take those 3 effects away. We know that they're there, but you'll see that we didn't do that bad. Let me dig into the exchange rate losses. First of all, so you've seen we had an income from exchange rate gains of EUR 1.8 million in the first 9 months, which were entirely offset by the exchange rate losses of EUR 5.1 million in the first 9 months. So that comes to a net effect of EUR 3.3 million, which negatively impacted the EBITDA or 3.2% of revenues. So out of these exchange rate losses that we've seen, EUR 4.4 million or 85% is unrealized losses and out of which approximately EUR 4 million are related to intercompany positions, i.e., shareholder loans and intercompany receivables. I mentioned that already in the first half year. So that's why you would not see that in the cash flow statement. Yes, we'll book it, but this unrealized losses for the exchange rate. But still it does impact our EBITDA negatively with 3.2% rather highly. The next position is the extraordinary cost for IT in the G&A expenses. These are costs relating to the SAP implementation. So in the first 9 months, the total cost has been EUR 1.9 million. They have come down notably in -- the spending has come down notably in the third quarter, but it's still over the first 9 months translates into 1.8% negative impact of the revenues on the EBITDA. We also had costs for improving our IT system that amounted to approximately EUR 1.4 million in the first 9 months, which again would then mean a 1.4% negative impact on the EBITDA. Together, if you see the amount that we really spend on IT, and yes, it's necessary, we need to make our system more robust. We need to make a step forward in higher efficiency and automation in our system. So this is not something that we're just doing for doing it. It really means making the major steps in getting our system safer, more secure, more robust, increased efficiency, also increase effectiveness of our operations. While it's a huge investment that we've seen, we'll see further investment in the fourth quarter. We also will see some of those investments still in the next year until we got the system entirely implemented. And then the third impact is the lower rate of capitalized R&D expenses. So the total R&D spending amounted to EUR 8.7 million in the first 9 months of 2025 compared to EUR 7.5 million in the previous year's 9 months. So you see a decent hike in our R&D spending. But what you will also see is that in the previous years, approximately 23% of these costs were capitalized, in the current year, we are capitalizing 30% of the cost. So on a like-for-like basis, this would also translate into a negative impact on the EBITDA on EUR [indiscernible]. To go into this really briefly, so capitalizing R&D expenses is not a choice or not an option, which we do. It is, as I mentioned at the beginning of the call, it is an accounting principle. So projects can be capitalized, certain projects cannot be capitalized. And that's a little bit depending on your R&D focus, but also what you have in the pipeline. Remember, any capitalization going forward means also depreciation, additional cost. So it's not that you're optimizing your cost, you're just pushing those expenses into the future. In any event, it is what it is, but you'll see that our R&D spending as though it has increased, it has not a huge jump that you see in the P&L and the earning power, that's why I said at the beginning, is still at a decent level. So what does it mean for the adjusted EBITDA, for the adjusted EBITDA, it means that we reached EUR 10.81 million, which, of course, is significantly with 56% below what we've seen in the previous year's 9 months. It is, of course, a factor of revenue growth of gross margin and those negative effects in the other operating costs that I just mentioned. Depreciation and amortization, you don't see a big change in there. Depreciation, EUR 5.8 million versus EUR 4.5 million, 40% of the depreciation is IFRS 16 related. So you will not see a huge change in that position going forward either. That brings us to the adjusted EBIT, which is -- came up to EUR 5 million. That represents an adjusted EBIT margin of 4.9%. That's significantly lower from what we've seen in the first 9 years (sic) [ 9 months ] in 2024. Again, we're not entirely happy with that, as you can imagine. Let me finalize with the cash flow and our cash position. Cash freely available at the end of the first 9 months were EUR 40.8 million compared to EUR 60.5 million, which we had at the end of 2024. So it's EUR 20 million lower from what we have seen. The financial debt on the other side also decreased by approximately EUR 1 million to EUR 3.1 million, which gives us a net debt -- sorry, net cash position of EUR 37.6 million, pretty much EUR 20 million below what we've seen at the year-end. Our equity decreased by EUR 1.5 million. That is due to the negative earnings. But remember, the negative earning also those nonrecurring effects with regards to the IFRS 2 and the stock option programs that are reflected. Cash flow, the operating cash flow before the change in net working capital was EUR 10.5 million. That compares to EUR 18 million in the first 9 months of the previous years. So what we see is it is significantly lower, but it's still at a good level with EUR 10.5, so it is 40% -- sorry, what we see then is the net working capital development. The net working capital increased by EUR 21.5 million. That compares to EUR 2.5 million in the last 9 months. So the working capital ratio to last 12 months net sales went up to 40% as of September compared to 25%, what we see at the year-end. So we're really trying hard to manage that working capital. It is really the inventory that we need to look at. It's really looking at the accounts receivable. The largest impact is really the increase in the inventory, which has gone up by EUR 10.3 million. That has changed the days of inventory to 237 compared to 131 at the end of the year. That is an extreme high value, and we are fully aware of that. That is something that we need to manage more actively and bring it down. We are fully aware of that. We have a lot of material sitting in there. It is mostly fuel cell components and material, which we intend to bring down in the next 6 months. So it's nothing that is going to go bad or will become obsolete. It is really material that have been acquired as bought this program. You also see a large impact on the increase of the accounts receivables. They increased by EUR 8.1 million compared to year-end. That translates into a 12-month trailing days of sales outstanding of 114 compared to 90, which we had at the end of the last year. So we see an increase in the sales outstanding. We don't see any bad receivables out there. But this is something also that we are managing actively and intend to bring that number down again towards the 90 days. Then what you also see is that the accounts payables have gone down EUR 2.8 million. That brings the payables outstanding down 52 days from 66 days So then with the tax payments of EUR 1.4 million, you'll see that the operating cash flow after net working capital and tax is becoming very negative with very negative, it means minus EUR 12.4 million, all driven by the net working capital development. Cash flow from investing activities is much, much lower from what we've seen in the last year. We are looking at EUR 2.6 million compared to EUR 6.4 million in the last year. So all those large investments that we have made last year are done and completed. So EUR 2.6 million is at a decent level. It includes, of course, the capitalized R&D. Then you see the cash flow from financing activities of EUR 2.8 million, a large portion of that is related to leases. And if you add those numbers up, you'll see a change in the cash position of EUR 17.9 million, and then we'll still have to add the exchange rate impact on our cash in foreign currency. So overall, cash has reduced, like I said, in summary, mostly net working capital. We've seen the margin decline. Still, I think we are at a good level, but not a level which we are happy or satisfied with, and we are fully aware that we need to keep on working on further implementing measures and structures to optimize especially our cash consumption. With that, I'll return it to Peter.
Peter Podesser: Thank you very much, Daniel. So summarizing where we are, I think on the basis of the performance to date, also, we talked about the order backlog and also, let's say, still some, I'd say, challenging macro conditions here. We've done, I think, a concise assessment here on the year-end forecast, and we are expecting the revenue at the lower end of the target corridor that we had out there -- that we have out there as a revised guidance. We see EBITDA adjusted as well as EBIT adjusted in the lower half of the corridor that is out there for EBITDA, the corridor is EUR 13 million to EUR 19 million and for the EBIT, respectively, it is the corridor of EUR 5 million to EUR 11 million. As said, we are expecting to end up in the lower half for both ratios. So looking at this, I think after years of continuous and significant growth and increasing profitability, while you see ourselves here clearly and honestly disappointed with those results here after 9 months. We also have to be self-critical here in terms of some maybe too aggressive and optimistic plannings in some areas, especially of the top line against the macroeconomic also environment that we are operating under. But at the same time, I think we have done a thorough analysis of the situation, we also see the reasons of deviations and we have implemented clear and targeted measures. We've talked about the cost part. I think on the inventory part, yes, the defense part of the business has downsides with, let's say, longer procurement cycles. But the good thing is those products are not turning anywhere that, as Daniel mentioned. So this is naturally the basis here for the improvement also on the cash flow side to get let's say, this out of the door as fast as possible. And that's why you see ourselves here, let's say, this clearly, let's say, a realistic moat, but with all the dedication to get this back to a growth curve. And again, I think for all of us here, we have an organic growth in the business, be it, let's say, our civilian security business, be it the industrial business, we are talking here about double-digit growth here between 11% and 15% and also our U.S. business, significantly above 20%. So the expectation there is to continue on this growth path to return to a growth path in India, as I said, service contracts in place, local methanol filling, all basis also for further, I'd say, satisfying the customers' needs there. And we've been intensively working on OEM programs on the defense part of the business in Germany as well as in NATO states. And naturally, we are expecting an impact of this in the year to come. We are doing, again, our regional expansion with the investment in Singapore. We expect a growth impact out of this. We are seeing our products performing properly well also for new applications like drone charging, and I also mentioned the drone defense activity here in Singapore. So all over, yes, the situation, especially the last 2 quarters are very, let's say, disappointing. We've taken the measures now, and we are looking at a strong year-end and again, a return to growth and improved profitability here based on all the measures that we mentioned together. With this, we close our presentation and would like to open the floor for questions. Thank you very much.
Operator: [Operator Instructions] The first question comes from Karsten Von Blumenthal from First Berlin Equity Research.
Karsten Von Blumenthal: My first question is regarding Oneberry. You have now a 15% stake. And perhaps you could shed some light on your future activities. You have a 50% option. When and how will you try to get this option?
Daniel Saxena: So we have that option to be exercised in the short term. Short term within this year, potentially beginning of next year. That option apparently, as we said, is to increase our holding in Oneberry to a majority for a fixed valuation. So this is something that we intend to do, and we put this option in there in order to exercise it. And of course, we'll have to review certain things with the business. We'll have to complete a bit more on the due diligence side, everything that is such a process and then we will likely exercise that option.
Peter Podesser: If I can add here, Karsten, just to, let's say, shed a little more light on, let's say, the business model. At the end, they are engaged in long-term multiyear contracts with the Singaporean government, the pipeline they have and the backlog they have is more than 90% government business there. And this is something that we want to continue to drive, but then also replicate this model to other parts of the region and if possible, also in other parts of the world, a rental business, so security, unmanned security automated based on, let's say, significant also, let's say, AI content to, let's say, recognition parameters here. At the end, with a higher profitability than we see it in our own business. And well, having been partners for quite some years, I think we also have a good trust base there to roll this out to other areas in the region as well as in other parts of the world.
Karsten Von Blumenthal: So there's a high likelihood that you will be able to consolidate Oneberry next year when you exercise the option. Could you shed some light on sales and EBIT Oneberry reached, for example, last year in 2024 that we can have an idea what will be the impact on your P&L next year?
Peter Podesser: I think we would -- at this point also of the negotiations there, I think it's good to have a ballpark figure here in terms of revenue, we're looking at about EUR 20 million revenue. And as that profitability, I'd say, above our own EBIT and EBITDA level.
Daniel Saxena: Consolidation -- well, let's assume that we exercise that option, let's assume that we'll get the control as defined for consolidation, then currently, let's assume that we will close that transaction, then yes, we would consolidate Oneberry from next year on. The numbers we are saying are not in IFRS to be also to make that sure, right? We're talking about Singapore GAAP [indiscernible].
Karsten Von Blumenthal: All right. That is very helpful. Next question, you mentioned the postponement in India, and you said that you expect a rebound in 2026, but not as high as in 2024. Could you roughly tell us how high revenue was in India in 2024?
Peter Podesser: Well, the defense revenue in India was around EUR 12 million. And being, let's say -- now, let's say, 60% below last year's revenue, as said, is one of the major impacting factors this year. The fiscal year there ends at the 31st of March, and that's why we are, as we speak now in the assessment of, I think, the right level of -- or the right budgeting level together with our partner on site and will naturally be based on the experience, a cautious assessment for next year, but still we expect a rebound and growth based on what we have learned over the last 3 months out there.
Karsten Von Blumenthal: All right. One follow-up question regarding the U.S. You mentioned that you are on track for local production in your facility in Salt Lake City. Could you shed some light on the next milestones you want to reach? So when will production start? How quick do you want to scale it up?
Peter Podesser: Pilots, we have our team of the U.S. right now in Europe for training for, I'd say, still the next weeks here. And then we do the first pilot trial still in December so that everything is geared up for 2026 series production. The plan here is to have especially, let's say, our high runners, the EFOY 2800 all produced locally next year. And that's why we are looking, let's say, at a shift here from production from Germany as well as Romania to the U.S., whereas the core elements as the specs still will be mounted here in Brunnthal. So it's pretty the same exercise we did here with India, and we did with Romania in the last, let's say, 12, respectively, 24 months. So we are not reinventing the wheel here. So it's basically copying the process.
Karsten Von Blumenthal: Yes, that was certainly facilitated. Could you roughly give us an idea about the value of this shift in terms of revenue for 2026?
Peter Podesser: You mean end customer revenue or simply the transacted systems?
Karsten Von Blumenthal: No. What -- how much revenue will you generate with the U.S., or you plan to generate with the U.S. production next year roughly, very roughly.
Peter Podesser: Well, this will be somewhat above EUR 10 million because still part of the products will be shipped from here as we are not transferring the whole product line over there. We also do refurb of old EFOYs here in the market where we will not shift the entire production of this and therefore, in the first, I would say, 2 years, we will still see a mix dominated by also the old version here that is in the market. And then step by step, I think we will fade this one out and then the entire production for the U.S. consumption of EFOYs is planned to be there. And in addition, naturally, we will also have to see how the defense part of the business evolves. I think -- we were particularly pleased to be invited by the U.S. Army on the occasion of the AUSA, this defense show here a couple of weeks ago to again reengage into a fuel cell development program, and they were particularly happy about the fact that we already had prepared local manufacturing capacity there, which I think is also a big argument for us being a partner for them doing the local production also on defense over time on site in the country.
Operator: The next question comes from Michael Kuhn from Deutsche Bank.
Michael Kuhn: Three essentially. First of all, you mentioned OEM programs in the defense space into 2026. Is there any possibility to roughly quantify that scope already? Or would that be too early? Second question would be on the contract loss you mentioned in North America, I think, where you lost versus a competitor. Was that a fuel cell competitor? Or was a customer there going for, let's say, a different technical solution? And last question would be on working capital. I think you talked about a 6-month time frame to reduce that. So just to confirm that and maybe get a confirmation on, let's say, that working capital won't dramatically change over the course of the fourth quarter.
Peter Podesser: First, OEM programs in defense. I think with, let's say, all the experience we just are undergoing, yes, we are a little hesitant now to come out, let's say, with numbers on those programs that are still work in progress. What we see today is that, I'd say, with a very, let's say, favorable financing environment based on all the political decisions, we also see that still capacity, the capacity on the administrative part of the purchasing or procurement part, but also the capacity in, let's say, some of the OEMs manufacturing capacity is a limiting factor. And we, let's say, therefore, expect all this to happen, let's say, in 2026. Part of it, I would say, on the earlier part of '26. But I'd say the visibility at this point in time is not at the point where I would feel comfortable to, let's say, put numbers out. We are looking at programs in Germany, but we are also looking, as you recall, we have, let's say, this also partnership here with Polaris on where, let's say, our products are under a NATO procurement contract. So we know that this program, the tender has been awarded here to Polaris, but we have not been, let's say, informed about individual numbers here out of the different countries participating. And I think the same thing here now with our German program. We are working on it as soon as we have more clarity, even if this is still before Christmas, we would be, let's say, able to share this. On the contract loss in Canada, we are talking here -- we are not talking about the fuel cell business. So it is, let's say, on the power management side, where we are integrating VFDs where we are integrating equipment also from ABB, and this was a loss based on, let's say, tough pricing here with an oil and gas OEM. At the same time, I think we also see, let's say, that's a competitive market. So it's -- but it's the single reason for, let's say, seeing a deviation from the original plan here. Otherwise, in the, let's say, Canadian oil and gas business, also especially on the EFOY side, we are still on our growth plan. And the third question, I would hand over to Daniel for answer.
Daniel Saxena: So with regards to the working capital, yes, there are 2 positions that we're really working on, as you rightly said, the first one will be inventory, bringing inventory down. That, of course, is a function apparently of selling and manufacturing those fuel cells because the largest part of the inventory increase, as I mentioned, is in the German entity and happening in Germany. So that is really our intent to get back to a normalized level, which would be looking at what we had at year-end. One impact that is -- one factor that is negatively impacting our inventory is the platinum pricing. Remember that a large part of our membrane is platinum that has been -- the price has increased significantly in the last 9 months to all-time high, I think the highest thing I've seen for a couple of years. The amount of platinum that we have in our inventory is over EUR 1 million. So of course that and we tend to buy platinum when it's at a low price or relatively low price. And then we intend to buy an amount of platinum that covers us for at least 2 to 3, sometimes 4 quarters. That is really making sure that we can lock in the cost. That will have an impact on our inventory, like I said, right now, we only have EUR 1 million. On the accounts receivable, yes, we intend to bring them down significantly. We expect collections. We don't see any receivable [indiscernible] write-off there. So that is something we expect to improve towards the year-end. I know you made the math with regards to revenue. So what we expect in terms of revenue in the fourth quarter. And currently, the higher revenues at the end of the quarter, the higher the accounts receivable, but everything that we have right now to turn around quickly.
Operator: The next question comes from Malte Schaumann from Warburg Research.
Malte Schaumann: First one is on the customer behavior. I mean, during the second quarter call, one of the reasons for the weak order intake in the first half of the year, you mentioned that especially new customers kind of hesitated to adopt new technologies, place orders, et cetera. Do you actually have in the recent weeks registered a change in the customer behavior or more or less the same U.S. tariff discussions, et cetera, and still lead to existing uncertainties?
Peter Podesser: I think at the end, we see, let's say, with new customers still, let's say, hesitation out there. And I mentioned before also that the U.S. pattern of the business still, yes, seeing, let's say, a growth of significantly above 20% organically is a solid growth, but it's not at what we have seen here, let's say, historically over the last 3 years. And that's why I think we -- with the environment, let's say, not being more stable and continuing as it is in the macro part for the new customer business, we have also factored this into our year-end planning. Existing customers, I think, being -- we published a significant order a couple of weeks ago with one of our largest civilian fuel cell customers here in Europe. We see a consistent repeat business. As mentioned before, the overall CCTV part, civilian security part of the business is also above 15% growth. But the change or the decision-making to, let's say, embark on a new technology here and complementing the existing whatever battery and solar devices with fuel cells definitely is delayed with, let's say, the environment as it is. So therefore, I think we can differentiate this pretty clearly and see this also in, let's say, the customer behavior.
Malte Schaumann: Okay. And then maybe kind of an early view next year or your level of confidence that order levels will -- would you expect kind of subdued order levels going into early next year and then hope for a recovery later next year? What's your visibility or your level of confidence then going into 2026, where do you see maybe increasing customer activity and where uncertainties still prevailing kind of reducing the visibility? I mean you have alluded to in some areas, still unstable situation, low visibility. But then on the other hand, you might have kind of gained some confidence in the meantime that, for instance, India will return as a major customer in defense. So maybe you can shed some light on what are your thoughts on maybe how 2026 can [indiscernible].
Peter Podesser: As you can imagine, now we are doing, let's say, a constant analysis on this and let's say, also assess, let's say, the regional part of -- or the different regions of the business and also the different end markets. And looking at where we are right now, I think we see, I'd say, this repeat part of the business on a constant, let's say, growth curve that we also would, let's say, assume as a basis, and we are also doing this in our planning right now because it's budgeting time. We are finalizing our planning rounds right now. So we are expecting, let's say, an organic growth out of this. We are seeing, let's say, signs of, again, improvement again in India, where we have this deviation this year. With this coming back to, let's say, a modest growth part, I think we are in a corridor here of mere organic part that is somewhere around, let's say, low double-digit growth. And we also do, I'd say, this analysis here on our, let's say, what we call this rolling part of the order book that is intra-quarter business transactional, where we have a pretty good view on it. As I said, this is between, let's say, 40% to 50% here that comes in and out within a quarter. So adding this all up, I think -- and then also looking at what we have, let's say, done on the cost side. We're also looking at our product pricing here based on raw materials, platinum being a big factor here. We will have to adjust this, and we are preparing for this. And therefore, I think a growth corridor just organically, as mentioned here of a good 10% is, I think, a solid ratio across everything. This does not include, let's say, a big impact also of when we look at, let's say, a larger defense program. And at the same time, we have just discussed with Karsten also the impact here of a potential majority acquisition of the Singapore business here adding up to, let's say, the planning then in 2026. Also, with the caveat, we have not exercised this option yet. But naturally, we have done this to go through this process and hopefully get to a positive end also here with our partner in Singapore.
Malte Schaumann: Okay. Then Oneberry, in the press release, I think you laid out the scenario for potential significant growth in the years ahead. So maybe you can shed some more light on where do you see growth? I think you mentioned EUR 100 million potential revenue contribution. So maybe you can shed some more light on that number? And where does the growth primarily come from? And what should happen that this will materialize in maybe, I don't know what the time frame is 5 years, 5 years plus. So what are your thoughts on that?
Peter Podesser: Yes. Oneberry has been very focused and fully entrenched in the Singaporean security architecture also by, let's say, family roots here of the owner of Oneberry. And also, let's say, looking where, let's say, such a family business then stays also in terms of, let's say, further investment into regional expansion, the planning of the owner here, the family owners was not to expand this and roll this out, let's say, into the region. With us being on board, this is a key element, really copying what we have -- what they have built up, integrating also our products into those security services and roll this out. And naturally, it is logical. We have done some business development in Indonesia. We have done in Malaysia and Thailand and in the Philippines. And this is, at the end, the overall business plan that we have already sketched out with them. But naturally, first of all, we need to take the next step and close the transaction and talk about, let's say, the option. And then it is initially a regional play, but we are also seeing large customers in our civilian security business looking for potential rental solutions, and we might also have to -- and be able to, let's say, copy this part or this business model here in other regions. And if we look at the, let's say, potential in, let's say, Asia, this is, let's say, what we have developed together as a scenario with the owner family of Oneberry that is also at the end, a reflection of what we see in terms of demand here in Asia, which at the end, again, is the most populous region. Time frame, yes, as you said, we are talking definitely midterm, and we are talking about a 5-year scenario.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Dr. Peter Podesser for any closing remarks.
Peter Podesser: Well, with this, we thank you all for your time and interest. As always, we are at your disposal also for bilateral discussions here with Daniel, myself and also Susan. We are heading through some rough waters here. Stay with us. I think we have a solid plan ahead of us. And we have shown that we are able to, let's say, implement plans apart from naturally, not neglecting the fact that we have seen 2 very tough quarters behind us. Thank you very much.